Operator: Greetings and welcome to Kandi Technologies Second Quarter 2022 Financial Results Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to the IR Manager, Kewa Luo. Please go ahead.
Kewa Luo: Thank you. Hello, everyone. Thank you for joining us today to discuss Kandi’s results for the second quarter of 2022. Earlier today, we issued a press release covering the results. You can find the press release on the company’s website as well as from Newswire services. On the call with me today are Mr. Hu Xiaoming, Chief Executive Officer and Mr. Alan Lim, Chief Financial Officer. Mr. Hu will deliver prepared remarks in Chinese, which I will then translate. After that, we will have a question-and-answer session. Before we continue, please note that today’s discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties as such the company’s actual results maybe materially different from the expectations expressed today. Further information regarding these and other risks and uncertainties is included in the company’s public filings with the SEC. The company does not assume any obligations to update any forward-looking statements, except as required under applicable law. Please note that unless otherwise stated, all figures mentioned during the call today are in U.S. dollars. With that, let me now turn the call over to our CEO, Hu Xiaoming. Go ahead, Mr. Hu.
Hu Xiaoming: Thank you, Kewa. Hello, everyone and welcome to Kandi’s earnings conference call today. I am proud of outstanding effort made by our team to deliver solid results despite many challenges in the economic environment caused by waves with COVID and the Ukraine-Russia conflict. Early in the second quarter, there was unprecedented supply chain disruption in China due to prolonged lockdowns in major cities, especially Shanghai. Despite these headwinds, our team rose to the occasion. We have continuously refined our business strategy and we saw the positive impact of this effort in the second quarter. This relative success in the harsh environment was enabled by our flexible business model. We are constantly innovating to find new products to address emerging areas of growth. A great example is the category of off-road vehicles. Our off-road vehicle revenue in the second quarter increased by 84% year-over-year. In the first half of 2022, we introduced the all-electric golf crossovers. Monthly production jumped to 2,000 units from just double-digits in March. Customers are thrilled with our new products and demand is high. With the trend of electrification of vehicles, we intend to develop a variety of new all-electric off-road vehicles such as UTV, ATV, and so on. We will launch those new products as the year goes on. Off-road vehicles will present a substantial market opportunity around the world. Industry sources estimate that this product category will grow by 19% a year for the next few years, reaching a market size of $2.2 billion in 2028. We will work hard to capture a share of this growth by soon introducing more new vehicles and building our marketing and distribution ability. Going forward by strategically adjusting our business, we believe our near-term efforts in all-electric off-road vehicle sector can make it a market leader. In addition regarding our battery exchange equipment and battery exchange service, we have cutting-edge battery swapping technology in the EV market in China. However, we surge in the waves of COVID and the lack of healthy growth in the China EV market, are impacting the battery swap efforts. What I mean here by the lack of health growth in the China EV market is referring to many Chinese EV manufacturers are competing in growth in order to capture the market share. We will monitor market dynamics and improve operations moderately. We will accelerate the battery swap business as well as China’s still massive electric vehicle market is healthy and stable. Meanwhile, we will continuously refine our business strategy to make Kandi more diversified and competitive. Let’s now start the Q&A session. Kewa will take any English questions and translate for me. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] Our first question is from Harold [indiscernible], who is a Private Investor. Please go ahead.
Unidentified Analyst: Hello. I have two questions. Sorry having to do with Kandi’s temporarily, cable highway speed EV cars both in China and in U.S. Question one back in April, our China Auto web portal reported that the Kandi K23 has been relaunched in China as the Henghe HRQ7000 BEV01, can Mr. Hu explain the rationale and significance of this on Kandi to include what it means financially to Kandi both now and in the future? It does seem that Kandi is the assembler of the car.
Kewa Luo: Thank you for your question. Let me translate what you have so far.
Hu Xiaoming: So, thank you for your question. Henghe is a trademark and basically a brand we use for all the EVs we cooperate with Hengrun. Our cooperation with Hengrun is mainly that we are responsible for the production of the electric vehicles that enable that battery swap mode, we produce the motors, parts and then Hengrun will take our parts and assemble to be a whole vehicle. So basically the cooperation is mainly to achieve the compliance in terms of the production and sales in the PLC market. In terms of the impact to financials, that will increase our sales of the EV product.
Unidentified Analyst: Thank you. Question two, Facebook Marketplace has a small use 2-door white UTV EV, with the Kandi name on the grill that looks exactly like the Henghe HR S1 in China. It’s being sold by the Dallas-based IDrive One dealership. There is not a lot about this car on the net. I noticed that the Chinese version is a full speed 102-mile per hour car as compared to U.S. 35-mile an hour limited car. What is Kandi’s relationship to the small EV?
Hu Xiaoming: Yes. So, basically we are using the same laid out on frame from the cooperation with Henghe. And why we cannot offer the full-speed EV in U.S. is basically because we have not yet met the air bag technical requirements by DOT, especially for the safety issues. Hence, we get only over those that UTV or NEV version in the U.S. market at the moment.
Unidentified Analyst: Thank you. Sorry, last question. The IDrive One dealership in Dallas also seems to be a primary seller with a big inventory of both the K32 NEV truck and the $3,500 Trail King electric bike, how are they selling overall? And will the K32 ever be considered for sale in China to a full highway truck?
Hu Xiaoming: So there are two questions here, first of all is about the question about IDrive One, that’s the dealer in Dallas and so our U.S. entity SC Autosports sells the products to other dealers, including IDrive One. And as far as specific sales of those dealers, we won’t be sure, because they may have some other products that’s not provided by us. So, we don’t have too much information for the whole sales per se. And as for the K32, that’s the UTV that we designed specifically for the U.S. market, because in the scale of the fully enclosed, the EV type. And in China, there is no such market demand. So at the moment, we don’t have this plan to sell it to China yet.
Unidentified Analyst: Thank you.
Kewa Luo: Thank you.
Operator: Thank you very much. The next question is from Terry [indiscernible]. Please go ahead.
Unidentified Analyst: Yes, thank you. I want to cover a little bit more on the battery swap with Hunan Hengrun. There was a press release back in January that announced the initial framework to that battery swap. Can you tell me has that deal been activated?
Hu Xiaoming: So, the project we are working with Hengrun is progressing in an orderly manner. In June this year, the Henghe band H23, the model H23, has already completed the relevant procedures at the Ministry of Industry and Information Technology of China, such as the product announcements are subject to environmental protection policies and then the tax exemption. So basically we have comply and fulfill and complete the license of the sales in China.
Unidentified Analyst: Okay. Is the Kandi brand going to be used on that ride hailing program and is that for the 300,000 vehicle program for the battery exchange?
Hu Xiaoming: So, for the sales in that current platform in China and other channels, the reason we are working with Hengrun is because they have the production license and qualifications. So the brand Henghe will be that the trademark and the brand that we cooperate with Hengrun EVs for the China market down the road. So there will be in Henghe. Yes, in the future and in the right timing we may use that brand Kandi again, but for now we will adopt the brand Henghe as our sales of the product in China.
Unidentified Analyst: Okay. Finally, what does each partner primarily contribute and what percentage goes to Hengrun and what specific products and services?
Hu Xiaoming: Yes. So, for our cooperation with Hengrun is similar as the model, we used to work with GLE in the past. So basically, we are responsible to manufacture the parts of those EVs and then sell them to Hengrun, which will assemble and sell it to the customers and even to our own source of customers. So, we are taking different steps in the whole flow. And so there is no such percentage of the products because we are working on different flows. Hopefully, I answered your question.
Unidentified Analyst: Yes, it does. I appreciate it. Thanks for your time.
Hu Xiaoming: Thank you.
Operator: Thank you. The next question is from Michael Pfeffer of Oppenheimer. Please go ahead.
Michael Pfeffer: Thanks for taking my question. With Kandi stock price trading at such a massive discount to cash working capital and shareholder equity and Kandi sitting on a huge cash stockpile, why isn’t the company been more aggressive in completing and even adding to last year’s announced $20 million share buyback?
Hu Xiaoming: So thanks for your concern. At the moment, because there is other huge influence from the first outbreak of the COVID, the resurgence of the COVID and the lockdown in PLC market, plus the military conflict between Russia and Ukraine, the whole international economic situation and the conditions is very severe and uncertain. And in such condition environment, the management believes that we should [Technical Difficulty] to cope with the upcoming uncertain economic situation. We want to go through this the time. In the meantime, we know that the share price of the company is seriously undervalued, understated. However, we believe that with gradual adjustments and refinement of our business strategy and then the improvement of our company’s financial performance, the share price go back to the reasonable level. The management believes that in the current economic situation, that’s not a good move to pioneer with the light on the buybacks to increase the stock price, because that may not be a persistent move, but definitely we will do repurchase the shares as planned.
Michael Pfeffer: One other comment, to be able to buyback shares at less than half book value at a 25% to 30% discount to cash seems like a no-brainer, particularly when compared to past buybacks at prices up to mid-$5 price by both the company and Mr. Hu personally along with at least one other director. On the last conference call, a suggestion was made that the company consider looking into a more formal Dutch auction tender, something that would certainly bring a lot of tension – positive tension to Kandi at this perfect time to due to its strong cash position and likely revenue explosion ahead this year. The key to success with a Dutch auction is it will remind all that Kandi is trading under cash in the bank? Thanks.
Hu Xiaoming: Yes. So as I explained earlier, we tried to be conservative and keep our cash flow in the meantime, because we believe that the buyback may not be a long-term that will – a plan that will increase or refine our share price from a fundamental standpoint. We rather focus on our business strategy and operations. However, we would like to explore the Dutch auction, the tender offer and see if that works and if that makes sense to the company and if that makes sense in the current market. We will explore and get back to you guys later if we plan to do so. And besides, Mr. Hu and some other parties repurchased a share price of Kandi at around $5 per share in last year that shows that we have confidence in our company’s future and ongoing we will explore and determine whether we took the time to have more repurchase the shares, but definitely we have the confidence in our company’s future.
Michael Pfeffer: Well, it’s probably much better buy here at these levels. It’s half the price. Thank you.
Hu Xiaoming: [Foreign Language]
Operator: Thank you. The next question is from Arthur Porcari of Corporate Strategies. Please go ahead.
Arthur Porcari: Thank you. Good evening, Mr. Hu. On last quarter’s conference call and 10-Q, the company surprised shareholders with the unexpected $70 million U.S. based golf cart agreement with units already being sold. Though this huge two-part order in size was disclosed in the Q1 10-Q, this order was never announced as a freestanding PR. Yet the new product line, if target reached as reported last quarter’s 10-Q would likely generate revenues this year almost equally Kandi’s total revenues last year. Can you explain to us what possessed management back at the time in Q1 when everyone’s business was crashing for Kandi to suppress publicly announcing a new product order of this size at a time when Kandi’s stock was also collapsing and has never recovered along with the market? Also from the comment in today’s PR, it’s safe to assume Kandi’s golf cart business expect to grow in future years? If so, how much? Could you pass on and ask that question to Mr. Hu please?
Hu Xiaoming: Right. So our mindset was to establish the fundamental of the new business, because we always had to adjust our strategy. So, our plan was want to get it materialize before we have the very concrete announcement to the public, but we will definitely take that in mind and it will be [indiscernible] in the future. As for the questions, basically, from March, we have already shipped out from China to our U.S. entity with a few of the dozens the pieces of the golf carts. And from April and May this year, we start to deliver over thousands of pieces of the golf carts to U.S. however, because majority of those deliveries is still in shipment at the moment. So we only recognize a few hundreds of the revenue of their golf carts for Q2, the rest is still on the way to U.S. entity. But from now on, it’s no problem for us to have a consistent production of over 2,000 pieces per month. And so that’s our situation for now.
Arthur Porcari: Well, that sounds like a pretty good answer, 2,000 pieces per month at the retail level, that’s would be what $60 million a month. That’s quite a number for a company that’s sitting here with 100 and – what do we have $180 million market capital, only $18 million in debt and $230 million in cash seems to me like you should be in a position where you can start buying back some of those shares, but go ahead and put that – send that on to them right now, Kewa just what I just said.
Hu Xiaoming: Yes, I mean, definitely, that’s – we have the bright future in the golf cart productions and we definitely can achieve really good target of the sales in order the ideal and smooth circumstances. However, there is just a lockdown in Heico, which our facilities is located get locked down lately. And so definitely that will kind of have some impact and hold up our productions. But down the road, we believe we can deliver very good performance in terms of the golf cart production.
Arthur Porcari: Okay. Well, that’s – and by the way I may have misspoken a moment ago, I am not sure if I said $60 million per month, I meant $60 million for the quarter, but again, that would be the gross amount at the retail level. On past couple of conference calls, there seems to be a continuous disconnect between Kandi’s stock price and the reality. And you know – and I don’t know, it just seems like we ask same question each time about if we are going to do anything about trying to increase the exposure. All we have done is we have actually gained and lost a couple of analysts during that time. And for us to be sitting here trading at a 35% discount to cash with no debt 200 – cashing went up this past quarter, as you said $232 million in cash and $180 million market cap. It just seems like we get the same question every time. Well, we know we must do better in trying to find analysts for the company. But what, it just never seems to happen. So my feeling is that we got to do something I mean, if you have Blue Shirt that’s been getting paid for 4 or 5 years now. All that’s happened is that stocks gone down since then, what are they getting paid for? I mean, they supposedly have a great reputation in the world. But anyway, if you can pass that on right now, I still got a few more things to say, Kewa.
Hu Xiaoming: Alright. So, we understand your frustrations as simple as we will, of course, try to expand our production and sales scale in China EV market. However, you may have heard about our update – you may heard about articles in China that is still in some healthy conditions that those vehicle competitors, the EV production companies, they will just in order to occupy the market shares, they will sell with loss. Each car they sell, they may have – that was a loss of few 10s of 1000s RMB. It doesn’t make sense to us. Well, for them, they may have spent over billions of U.S. dollars to burn and to pickup the market occupancy in China market. However, with the cash we have over a million or so of the cash is definitely not enough to compete with those companies. So, we can only wait until when the market becomes more healthy in a more orderly manner, and then we will go in and expand our sales and the production scale. Definitely, that’s our plan. But at the moment, it will be unwise, or doesn’t make much sense to do so, just to bring the money for no reason. So, we would rather be more conservative and wait until there is better timing for us to expand the sales and production.
Arthur Porcari: Alright. Well, anyway, okay. So, based on the now reported first half, balance of the golf cart what you talked about in the 10-Q and some comments you just made. It looks like Kandi should actually have its best year ever, based on both business and financial condition this quarter, I mean this year. Very unique based on current overall economic and market conditions yet, in spite of this likelihood, you still managed to keep this thing as the best kept secret, you haven’t answered me why? Why would – we have only put one press release out the company, the whole year, yet in the past, we put out 20 to 40 every year. The one press release was way back in January 10th. And it really had nothing to do with golf carts. So, is this just going to be a new policy. You are just going to go dark or you are going to start putting out press releases again? It’s just amazing. I will pass that on, and I got a few more short questions and I am done.
Hu Xiaoming: Okay. I hope you understand that it’s still rather a transition period for us to adjust our strategy and we find our work plan to compete in the EV market. So, and of course, we witnessed and if certain investors or shareholders are not satisfied, we cannot make them stay. But hopefully, we again have that confidence to show the stay of us to encounter such that transition period. And hopefully we can enjoy the fruitfulness we sought in the future.
Arthur Porcari: Okay. Just a couple of quick wins now. I am sure Mr. Hu is not happy with what he is seeing. If he and I go back together all the way to 2008 when this company started, in that year, he had I think 13.5 million shares of stock. At the peak, it was probably worth, I don’t know, $65 million to $70 million. You look at the stock he has today has more stock and I know he is paid five $5 million for the stock he has already bought. He has got more stock and at today’s price, it’s probably worth closer to, I don’t know $25 million or $30 million. So, he can’t be happy with this, but he hasn’t done in my opinion, that’s why I feel frustrated. He has done a great job of keeping this alive and well and safe and yes, maybe gave people an opportunity to buy the most undervalued stock in the world is certainly not going to go out of business. Maybe in this market that’s a great deal. But getting off that bandwagon, I just got a couple of last questions here. How much of an effect is the China tariff have on Kandi’s golf carts, electric bikes, power sports, and off-road business and does the company anticipate a lifting of U.S. restrictions on these. And one last piece with next to golf carts, how much are the NEV electric bikes expected to contribute to this year’s revenues? And does management have an estimate for total sales in the off-road business this year?
Hu Xiaoming: First of all about the questions for the tariff, there is no such tariff on China imposed to our export, because there is only a rebate, but then there is no tax or tariff charge on our exporter. For the shipping to the U.S., the U.S. government, they charge 10% tariff of all the import. So, under the existing conditions, our sales price in the U.S. market is determined according to the existing tariff, the tax rate. If there is any future adjustments down the road, our sales price will also be adjusted accordingly. So, basically there is no such a significant impact to that company’s revenue upon the change or adjustments of the tariff tax rate. And then the second question about our sales forecasts. Well, because of the significant impact from the resurgence of the COVID, the lockdown as well as the conflict between Russia and Ukraine, the whole market is uncertain, definitely there will be increase of golf cart in this year, but for the sales other than golf cart ATVs, we expect the sales to be similar to the level of 2021. That’s our estimation.
Arthur Porcari: Okay. Well, that would be fine anyway. Well, we will just see what happens next quarter, but it sure seems to me like this could be a record year for the company, it may be a record year for a low price as well as the stock, which is a great opportunity for those who are smart enough to take advantage of it, but pain to each its own. Thank you very much and great job coming up with this new product line. It looks like it’s going to be huge in the U.S. from what we have seen with all the dealers that have been added on recently. Thank you, and talk to you later.
Hu Xiaoming: Thank you. Operator, we can take the next question.
Operator: Thank you. Our next question is from Frank Batterman, who is a private investor. Please go ahead.
Unidentified Analyst: Yes. Thank you. Good evening Mr. Hu. Is there any agreement written or oral or Chinese law that prohibits Kandi from exporting brief legal and highway capable cars for any country including the USA of [indiscernible]?
Hu Xiaoming: The main reason that we have not offer our foot space EVs product in is because that we have not met the requirements of the airbag safety requirements standard by the U.S. DoT. As a matter of fact, that none – no one of the China based EVs product has fulfilled such requirement has been over in the U.S. market, even though the mechanism is rather self-ratification process. However, if something happened, we are in big trouble if we have not met such standards, and yet we all had to sell in the U.S. because the airbag safety standard in U.S. is higher than the rest of the world, like EU or the China region. Even though there is no such written or oral documents or agreement to prohibit us to do so, but we are just picking – doing the right way to make sure that first we can fulfill that standard, then we can offer the full speed EVs in the U.S. market. We didn’t take it by the current order.
Unidentified Analyst: Okay. Thank you. I do have a second question and then third one. Second question, are other modifications needed besides the airbag for the K23 and K27 to be highway legal in the U.S. Is that the only thing that is needed to make them sellable here in the U.S.?
Hu Xiaoming: Yes. The big major obstacle is really the airbag safety requirements and the technical standards request by the DoT. Other than that we are pretty much fulfilled the rest of the requirements.
Unidentified Analyst: Okay. Very good. And my final question, why has Kandi not devoted whatever resources are needed to quickly design and incorporate the needed airbag changes to bring Kandi’s vehicles up to DoT standards for highway use to take advantage of this opportunity to sell inexpensive vehicles in the United States due to the high gasoline prices, and the climate changes? It seems to me that this is not brand new technology. [indiscernible] has some of the best engineers in the world. Why haven’t we devoted whatever resources we have to getting this done? And that’s my final question. Thank you.
Hu Xiaoming: So, thanks for your concern and suggestions. But as we mentioned in the past question, the requirements of the airbag safety standard is much higher than those in China and even EU, because well in China and EU, basically we have that similar standards. But in U.S., we have to tackle different issues such as the different size of the passengers, the drivers. And then it is not just a matter of one single company being able to tackle, it’s rather the whole industrial skill set level for the whole country that would work together to tackle such issue. So, at the moment, we are trying very hard to do so. But I guess we have to wait until the whole standard being boosted in terms of the country level in China. But that we tried our best to improve though the timeline can’t be determined at the moment. Meantime, we will focus on the NEV market and the sales in the U.S. And in the second half of the year, we will launch more different models on the NEV to improve our market occupancy in the U.S. market. So, our focus now will be NEV, but definitely we will work on the safety requirements in the meantime.
Unidentified Analyst: I understand what you are saying. It just seems that this is all technology at this point. And it should not be all that difficult to achieve considering the resources that are in China, with the engineers and the fact that other companies are manufacturing electric vehicles, I am sorry, gasoline vehicles in China and seem to have solved the airbag issue for export to the U.S. in their manufacturing plants, but no reason for you to comment on that. Thank you very much. Thank you for your time.
Hu Xiaoming: Thank you. Yes. So, thanks again for your question and your concern. But I guess we don’t think there is any one even the gasoline vehicle has been sold by the China companies to U.S. market yet. So, basically that applies to all the automotive from China based companies.
Operator: Thank you very much. Ladies and gentlemen, that is unfortunately all the time we have for questions. And I would like to hand back to Kewa Luo for some closing comments.
Kewa Luo: Thank you. Thank you again for attending today’s conference call. If you have any more questions, feel free to contact us via e-mail or our Blue Shirt IR company. We look forward to updating you on our next earnings call in November. This concludes our call for today. You may now all disconnect. Thank you. Bye-bye.